Operator: Good day, and thank you for standing by. Welcome to the Globalstar Second Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised, that today's conference call is being recorded. I would now like to turn the conference over to Rebecca Clary, CFO. You may begin.
Rebecca Clary: Thank you, operator. And good morning, everyone. Before we begin, please note that today's call contains forward-looking statements intended to fall within the Safe Harbor provided under the securities laws. Factors that could cause the results to differ materially are described in the forward-looking statements and Risk Factors section of Globalstar's SEC filings, including its annual report on Form 10-K for the financial year ending 2023 and its other SEC filings, as well as today's earnings release. I will first cover our financial performance and outlook, then Paul will review our operational highlights. Globalstar had a strong second quarter, driven by a 10% year-over-year increase in total revenue, reaching a record high of $60.4 million. Service revenue increased 18%, offsetting a decline in equipment revenue, which was impacted by the timing of IoT sales. As we have discussed in the past, the operating leverage of our business leads to a much greater corresponding increase in EBITDA as service revenue grows. Supporting this point, adjusted EBITDA grew by 20% this quarter with a margin of 54%, up from 49% in the prior year's second quarter. Turning to the balance sheet, we ended the quarter with $64 million of cash on hand as we continue to build liquidity ahead of milestone payments due to our next-generation satellite vendors in the coming months. 95% of these costs are recovered over the lifetime of the satellites via contractual service fees. Importantly, these satellites remain on schedule with an expected first launch in 2025. Rounding out other balance sheet metrics, our leverage ratio remains healthy at three times. Our blended annual cash interest rate is favorable at around 6%, and we expect to pay minimal cash taxes due to our $1.9 billion NOL carry forward. As a reminder, our debt stack is comprised primarily of balances that are expected to be recouped from future service fees. We believe that we have a fully funded business plan and a solid foundation of contractual cash flows that are expected to grow, and we are as strong as we have ever been financially. Based on the continued momentum across our key growth categories, we are raising the low end of our revenue guidance to $235 million. At the midpoint of the range, our anticipated results indicate an 8% increase over 2023 total revenue. We are also raising our guidance for adjusted EBITDA margin to 53%, an increase from our previous forecast of 50%. During our last Investor Day two years ago, we guided towards 2024 being a flat year financially. We are pleased to report that is no longer the case. Expansion in our existing revenue streams and the introduction of new ones have continued to increase our profitability, and we're excited about what is to come in the balance of the year. Before handing the call to Paul, one clarification on some trading activity that we have received questions about. Specifically, some of you have seen a Form 4 filing with what may have looked like a sale of Paul's personal Globalstar shares. It was not. Because Paul is the controlling stockholder of [Wireworks], SEC rules require that when Wireworks sells shares, that sale must be attributed to him. In this case, the shares Wireworks was selling were shares we issued to it to support the continued development of XCOM RAN, as supported by the support services agreement we entered into with Wireworks last year. Wireworks then sold some of these shares to Thermo, which demonstrates Thermo's continued commitment to invest in Globalstar. With that, I'd like to turn the call over to Paul.
Paul Jacobs: Thanks, Rebecca, and it's great to be with everyone today. I have to say I'm very proud of our strong second quarter performance. We exceeded expectations and the continued momentum is feeling very positive. This quarter really highlighted Globalstar's ability to enable new capabilities through our decades of operating experience and the flexibility of our network to reliably and rapidly support and deploy new technologies and services. It's been almost a year since I became CEO, so I thought it would be good to take the opportunity to discuss and update you on some of our strategic and organizational initiatives. I had hoped to provide some of this context last quarter, but of course I wasn't able to be with you, and I appreciate all those who sent kind thoughts and wishes to me. We've organized ourselves now into a few categories of business, all of which leverage the core asset of our spectrum position. And these categories are consumer wholesale, consumer retail, government, commercial IoT, XCOM RAN, and n53 licensing. We've really added some great new talent to augment the team that's built and operated the satellite business for so many years, and we're starting to ramp up our team in India even more to support the development and testing of new technologies and products. We're very pleased that our wholesale services are growing in both the government and consumer sectors, and we're making good progress through this proof-of-concept that commenced this year for a government services company. We strongly believe we'll be able to generate growth from government customers and have identified a bunch of different opportunities for doing so. We are making targeted investments in our consumer retail offerings, really recognizing that there's a window of opportunity to still generate some reasonable economic returns there. While this is a mature part of our business, we've been very proud of our ability to provide consumers with safety, security, and general connectivity through those consumer products. Look at the consumer IoT business. It continues to grow, and what's really nice about the way our system works is we can make very substantial progress testing new technologies that really improves our capabilities, and we're engaging with our existing customer base to shape how we'll roll out these capabilities. Frankly, we've been slower to deploy some of these new capabilities than we would have liked. With that, we've made significant additions now to our product development organization, both on the commercial and engineering sides, and that's really to ensure that going forward we bring products and technologies to market in a more streamlined fashion. Our in-house engineering talent is excellent and gives us a really competitive advantage going forward. I also want to express the appreciation to our product team, which has now successfully transitioned our manufacturing into Vietnam, which should remove the impact of tariffs on our bottom line going forward. And then we've also added new channel partners that we're engaging with to expand geographic reach of our sales team, so that'll be a nice opportunity as well. We are definitely looking forward to the completion and launch of the next group of satellites, and we expect those to improve capacity and add longevity to enhance our space business. Turning to the terrestrial side, we've been installing and validating XCOM RAN in our customers' micro-fulfillment centers, really demonstrating XCOM RAN's ability to uniquely support their mission-critical requirements. We're also in the midst of a government study of use cases for our XCOM technology. If all goes well, we believe the XCOM RAN deployments could represent a material opportunity to grow the company's revenue. We also continue to see interest in the use of our n53 spectrum, both in conjunction with our own XCOM RAN product and independently, and we intend to demonstrate the synergies at an upcoming Investor Day, which we expect to hold before the end of the year. We absolutely understand that many investors highly value our terrestrial spectrum asset. I want to assure you that we do as well, and we're very careful not to encumber that spectrum without appropriate compensation. Globalstar's been an innovator in the connectivity industry, and this team is driven to continue to innovate new technologies and services that are synergistic with the existing assets and businesses. We remain focused on building on our quite strong customer relationships to create value, and we do this by leveraging our differentiated assets of the low Earth orbiting satellite network, our Band 53 spectrum, and the XCOM RAN technology. And as our new services ramp, we expect shareholders will be rewarded by the significant operating leverage and limited CapEx requirements, which we expect will drive increasing margins and cash flow. So I will now turn the call back to the operator for Q&A. Thanks, everybody.
Operator: [Operator Instructions] And our first question will be coming from Mike Crawford of B. Riley Securities. Your line is open.
Mike Crawford: Thank you. Could you just elaborate a little bit more on the product development efforts the team is doing to incorporate XCOM RAN into your private wireless networking offerings?
Paul Jacobs: Yes. So we're in the process - we have the first pass of the product. In working with our customer, they've asked for a few features to be added to the product, and we're in the process of doing that both on internal development and also some components of the system that we're working with third parties on as well. So there's a small amount of incremental innovation that's going on. It's mostly just product-oriented stuff. It's no science project. It's really just building out a few more features.
Mike Crawford: And do you expect to test using Band 53 as an anchor spectrum to really increase capacity of what the product can do?
Paul Jacobs: Yes. So we're going to show - we expect to show before the end of the year some demonstrations around Band 53 and the XCOM RAN technology, and then we'll look to be bringing a product out that incorporates a broad range of frequency bands so we can tailor that to what the customers want. But look, when we talk to customers about private network, I mean, it's a huge differentiator not just to have the technology but to have the frequency band as an anchor and one that's guaranteed because on a standalone basis, XCOM Labs was able to use CBRS spectrum, but it's not 100% mission critical because military can come in or somebody higher up in the priority stack can come in, and then you don't get to use that spectrum. So if you're going private cellular, you definitely have a mission critical application. Otherwise, you'd just have used Wi-Fi. So we want to make sure that we can provide really the most reliable system, and that's very differentiated for us.
Mike Crawford: Okay. Thank you, Paul. Just maybe one or two more. What should we be looking for next with this potential government customer?
Paul Jacobs: Yes. So we're in the process of doing the proof-of-concept with them. When they are done with that, then you'll see us move into sort of the operational phase of it and full deployment. But what's really nice is a new set of technology runs over our network. The satellites are bent-pipe, so all of the technology innovation happens on the ground, so it's very easy for us to upgrade. We're doing things to make sure that performance is what was expected, that all the compatibility between this new technology and all of the other things that we're running over the network are there, and everything's been going quite well so far. So we have high expectations for that and see no reason why we wouldn't continue to move forward.
Mike Crawford: Okay. Thank you. And then last question is just on the replacement satellites. When do you expect to have your first launch window for the new satellites?
Paul Jacobs: Yes. So it will be in the first half of next year that we look to launch. And the satellites are being built. The progress is being made there. Having great discussions with FCC. And, yes, so that's all moving ahead.
Mike Crawford: All right. Great. Thank you very much.
Paul Jacobs: Thank you.
Operator: Thank you. [Operator Instructions] And the next question today will be coming from Logan Lillehaug of Craig-Hallum. Your line is open.
Logan Lillehaug: Hi, good morning, guys. This is Logan on for George. Maybe if we could just start with that government services contract. Obviously, you guys have said you're in the proof-of-concept. Just wondering if you guys are able to kind of move through that. Do you think it makes it easier to sell to maybe some other government services companies? Like, is that a necessary hurdle to maybe expand that offering?
Paul Jacobs: Actually, so we're having good engagement with government across the board. We have this project that we're working on with XCOM RAN right now. But the thing that's actually quite exciting is that as we've gotten closer with our government services partner, this company, together we've been brainstorming other opportunities together, and there's quite a good pipeline of that. So in some sense, yes, we want to get through this first project together, make sure we work well together. But we see an excellent opportunity going forward. And then for sure there's other potential with other companies that are government contractors. And I'm sure you know it's, working with the government, building that channel takes time. So the idea of partnering with companies that have been added for a while really is a great go-to-market path for us.
Logan Lillehaug: Got it. And then maybe just one kind of quick follow-up for you Paul. Just any commentary on the AST FCC approval earlier this week? I mean, I know I think they still have a few steps to go in terms of actual cellular use, but I'm just wondering if you have any comments on the competitive environment, whether or not you think it's changing.
Paul Jacobs: Yes, I don't think that particularly changes things. It's five satellites out of I think they were looking for 250 to run the service. And obviously, it takes a lot of effort. We know well we've been running a network for decades. And we are still the only ones running commercial direct smartphone services. So, yes, as I've said many times that business model is an unproven business model up to this point. Providing full cellular services outside of cellular coverage areas, Globalstar and Iridium went bankrupt doing that 20 years ago. And for sure cellular networks have grown since then. So, yes, there is an opportunity for connectivity. Obviously, we're showing that right now for connectivity outside of cell coverage. Question is, what's the incremental opportunity beyond what's being provided now? And so that business model, it needs to be proven. And I think for us, we're just going to continue to focus on where we've found the opportunities to generate real profitability and real revenue streams from this direct-to-cell business. And we keep track of everything that's going on. I've got a great team of engineers, lots and lots of experience in building new wireless technologies. So we're on it. We're definitely watching it. But like I said, it's really about proving that there's a business model there.
Logan Lillehaug: Yes, that's all for me. Appreciate it, guys.
Operator: [Operator Instructions] And at this time, there are no more questions in the queue. I would like to turn the call back over to Paul for closing remarks. Please go ahead.
Paul Jacobs: Thanks, everybody, again, for joining us. Like I said, when I started, great quarter, made a lot of progress in a lot of different areas. It's been an excellent year so far, lots of things to learn, lots of new areas to push on, lots of ways to augment the team that we have. But it's a very exciting time for us. And as we look at all the different areas that I talked about the different business segments, we see great opportunities to drive growth in all of them. And so appreciate your support and look forward to continuing to have a lot of progress going forward. So thanks, everybody.
Operator: Thank you for joining today's conference call. This concludes today's meeting. You may disconnect.